Operator: Good day everyone and welcome to the Entegris third quarter 2009 earnings release conference call. Today call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Steve Cantor, Vice President of Corporate Relations.
Steve Cantor: Good morning and thank you for joining our call. Earlier today we announced our financial results for our third quarter ended September 26, 2009. You can access a copy of our press release on our www.entegris.com. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, which are outlined in detail in our reports and filings with the SEC. On this call we will refer to non-GAAP financial measures as defined by the SEC and Regulation G. You can find a reconciliation table in today’s press release as well as on our website. On the call today, are Gideon Argov, President and Chief Executive Officer; Bertrand Loy, Chief Operating Officer; and Greg Graves, Chief Financial Officer. Gideon will now begin the call.
Gideon Argov: Thank you, Steve. Good morning and thanks for joining the call. I’ll provide an overview on the third quarter and then Greg will provide some color on the financial results. There were three key takeaways from our third quarter. First, we saw steadily improving demand from both our unit driven and capital driven products, which led to a 34% sequential increase in sales. Much of the improvement reflects a partial recovery in the semiconductor industry, but we’re also encouraged by the early results of our efforts to recapture share and penetrate new markets. Second, we are seeing evidence of the operating leverage from our improved cost structure. We executed well and we’re able to generate EBITDA of $14.5 million an EBITA margin of 6%, before restructuring expense, even with revenues below our historical levels. Third, we significantly improved the balance sheet by reducing our debt by nearly 40% with the proceeds of our stock offering in September. Greg will cover this in more detail in his remarks. In terms of the revenue trends by market, sales to semiconductor customers were up 38% from the second quarter representing 71% of Q3 sales. The increase in fab utilization rates and production output in Q2 on the part of foundry customers was not only sustained, but broadened other device makers in the third quarter. In addition, the capital driven side of our semi business was boosted as some fab customers pushed forward R&D projects related to implementing advanced process technologies. Our sales to customers outside of the semi industry were 29% of total sales as we saw continued improvement in data storage, flat panel, LED, and other industrial markets. The unit driven, CapEx driven split in the third quarter was 71% to 29%, reflecting a slight shift toward capital driven sales from the second quarter. This is significant since the capital driven side of our business will provide the next leg up in our growth. In terms of trends by segment, Contamination Control Solutions sales grew 40% from the second quarter, $66 million. Much of this growth was in our filtration and liquid container businesses, which continued to show strength after rebounding in the second quarter. Sales of CCS capital driven products, such as photochemical pumps, retract tools were also up in the second quarter. In addition, we experienced significant demand for our gas purification systems that are used to control contamination in the LED manufacturing environment. After rebounding strongly in the second quarter, sales in our microenvironment segment grew another 24%, in Q3. Demand for wafer shippers was higher for 200 millimeter and below, which is a testament to the resilience of that end of market and sales of 300 millimeters shippers paused after several consecutive quarters of steady growth. On the transport side of the ME business, demand for hoops and carriers improved both at a level reflecting modest industry spending for fab upgrades, which drives sales of these particular products. Finally, sales in our Specialty Material segment rose 42% from the second quarter to $12 million, this reflected improved demand for our coatings products as well as Poco’s specialized graphite, used in semiconductor and microelectronics’ applications. While our third quarter sales performance was encouraging, we were pleased with our operating results. The EBITDA we generated on a relatively low level of sales, demonstrates continued progress towards returning to profitability on an EPS basis, and showed the powerful operating leverage and the cash flow potential we have now built into our business model. In summary, we’re gaining momentum with key product initiatives, we’re benefiting from the recovery in the semiconductor device production, and from technology spending on next-generation processes, and we’re fostering growth opportunities outside of semi. Our improved cost structure provides for enhanced earnings potential at lower revenue levels and we have strengthened our balance sheet by paying down a sizable portion of our outstanding debt. Greg.
Greg Graves: Thank you, Gideon. I’ll provide some detail on the third quarter financials and then provide update on our Q4 operating model. We were pleased with the financial improvement in the third quarter in every respect. Sales continued to increase through the quarter, and we had positive operating margins on an EBITDA basis excluding restructuring charges. The Q3 sales growth was led by Asia, which grew 46% sequentially. Japan and the U.S. also showed strength increasing 35% and 37% respectively. Europe sales were flat after growing 33% in Q2. Foreign exchange rates compared to Q2 at a $2 million favorable impact on total Q3 sales primarily due to change in the yen. Gross margin for the third quarter improved to 40.4% up from 28.7% in Q2. The higher margin was the result of higher sales volumes, favorable product mix, and very good execution by our manufacturing team. Operating expenses excluding amortization and restructuring, was $37.8 million or 34% of sales, which compared to $33.5 million or 41% of sales in Q2. The Q3 operating expenses included the restoration of a portion of the temporary cost cuts we made in Q1 and Q2. As a result, third quarter SG&A of $29.2 million in ER&D of $8.6 million rose sequentially. Depreciation and amortization expense were $12.2 million in Q3 down modestly from Q2. Other expense for the quarter was $4.1 million, due to changes in foreign exchange, primarily the strengthening of the yen relative to the dollar. I should point out that, through the nine months of the year, the net impacts of FX was roughly $700,000 expense, reflecting the variability of FX rates. CapEx for the third quarter was $1.1 million, and $11.5 million through the first nine months of the year. We expect CapEx to be around $14 million for the full year, as we continue to spend at maintenance levels. Turning to the balance sheet, we reduced our outstanding debt by $60 million, and ended the quarter with $91.6 million of funded debt including $67 million under the revolving credit facility. We achieved this primarily through the use of proceeds of the stock offering we completed in September. With the reduction in debt, we believe we can operate very comfortably within the covenants of the bank agreement, even as those terms revert to more traditional covenants in Q2 of next year. Our Q3 cash balance of $78.4 million, declined $5.7 million from Q2. This reflected higher working capital needs to support the higher sales volume, and the use of cash to pay down debt above and beyond the proceeds of the stock offering. We were particularly pleased with our working capital management, since even with the increasing sales and order trends, we increased inventory by only $2 million. Inventory turns improved to $3.2 million from $2.7 million in Q2. DSOs were 66 days in Q3, essentially the same as in the second quarter. Looking to the fourth quarter, we expect revenues to exceed third quarter levels. We also expect to generate cash from operations in the quarter as we continue to maintain tight cost controls and actively manage our working capital. In Q4, we expect manufacturing fixed costs of about $25 million to $27 million, variable manufacturing costs of about 38% to 40% of revenue and operating expenses exclusive of amortization of approximately $37 million to $39 million. As we move into 2010 and plan for the full restoration of the temporary cost reductions, we expect total quarterly operating expenses to run between $41 million and $43 million excluding amortization. To put this in perspective, even with costs fully restored this OpEx level will be approximately $12 million per quarter, below the $54 million of operating expenses we had in Q1 of 2008. Thus, beginning in 2010, we expect quarterly operating income breakeven to be $110 million excluding amortization, and our cash EPS breakeven to be approximately $112 million to $115 million. In summary, our revenue trajectory is positive even without the benefits of a full blown recovery in the capital driven side of the business. Our permanent cost reductions positioned the company to realize significant operating leverage. We continue to invest in new products and markets and to take share in key areas, and we’ve significantly improved our balance sheet. With that, we’ll now take your questions. Operator.
Operator: Thank you. (Operator Instructions) Our first question comes from Krish Sankar from BOA.
Paul Thomas: Good morning. This is Paul Thomas for Krish Sankar. Thanks for taking my question. First, on the gross margin front, last quarter you were talking about $28 million in fixed cost and it sounds like you’ve taken that down again in Q4. Is there more room to go there going into next year?
Greg Graves: Our fixed cost structure today is probably above, where it will be going into next year. I think as you think about the gross margin going into next year, we really need to think about kind of a 60% flow through on incremental revenue. If you look at the most recent quarter, we had a very strong performance on margin. The flow through on the increase in revenue over Q2 was about 80% on the gross margin line, and that’s in part of function of the manufacturing, the direct labor is, what I would call kind of semi fixed and so we did not add labor at the same rate that we added revenue, but as we move forward, because that we need to think about a flow through in the 60% range and probably we’re talking so much about sort of the fixed and variable breakout.
Paul Thomas: Okay. Thanks, that helps and then also, so going into a seasonally slow Q1, how should we think about the unit related revenues versus CapEx?
Greg Graves: Our unit related revenues were really most of the improvement that we’ve seen year-to-date, and we see that potentially a shift as we move further into the year. We’ve all seen the actual results in the forecast for the capital equipment side of the business and we’re beginning to see that in this last quarter. My guess is that we’ll see a continued stronger performance relatively on the capital side as we move forward.
Paul Thomas: Okay. Thanks.
Operator: The next question comes from Christian Schwab from Craig-Hallum Capital Group.
Christian Schwab: Great, thank you. Semi-Cap equipment revenue specifically, what was that in the quarter, Greg?
Greg Graves: Semi-Cap equipment, our revenue from the capital side of the business, is that what you’re asking, Christian?
Christian Schwab: Yes.
Greg Graves: It was 29% of our total.
Christian Schwab: What is the Semi-Cap equipment sales?
Greg Graves: Revenue that’s driven by the capital spending.
Christian Schwab: Okay, perfect and then as we look to kind of the mid cycle now that the world has kind of improved can you kind of walk us through, what you think mid and peak cycle revenue is for you given the new environment per product line?
Greg Graves: We’ve sized the business, we’re thinking of targets internally of 130 and somewhere in the kind of the 155 to 160 range are the numbers that we’re planning against.
Christian Schwab: Perfect. Thank you.
Operator: The next question comes from Avinash Kant from D. A. Davidson & Co.
Avinash Kant: Good morning, Gideon and Greg.
Greg Graves: Good morning.
Avinash Kant: Question more on the unit side actually. Most of the wafer to starts based commentary that we have heard from our companies looks like wafer to starts in the Q4 are going be flattish, not down much, do you see that in your unit driven businesses?
Greg Graves: We do expect the rate of wafer start growth to cool off going into Q4, but we’d still expect our consumer business to grow modestly. So, if you just think about the order trend right now for our unit driven business, that remains actually very strong going into Q4 and while there could be some softening in terms of IC demand, that has yet to impact our consumer business. So, you should expect our consumer business to grow modestly going into Q4.
Avinash Kant: To grow modestly; right and if the CapEx side of commentary, we have been hearing pretty strong number it’s actually from Q3 to Q4, kind of even 30%, 40% kind of growth. Is that reasonable, is that what you are hearing to or is that off by a bit?
Greg Graves: We definitely saw an up tick in our CapEx business in Q3, we still expect this trend to continue going into Q4, but remember that the three major factors really contributing to our CapEx’s business, the first one would be the technology upgrades, the second would be the new green field fab projects and finally, there would be also some new applications for our equipments products, applications into new markets. So what we are seeing right now is a very solid growth in terms of technology upgrade and all of our product lines have been benefiting from that. That’s very encouraging we are finding some new applications four our equipment business outside of semi-applications, that’s actually very promising news going into Q4 and into 2010. The ingredient that is still missing yet is the new capacity addition, and that would be the one ingredient that we would need in order for our CapEx business to go back to its historical levels.
Avinash Kant: Okay, and also, if you could comment a little bit about some of the market share losses you’ve had in the past, on the wafer shipper side. Are you starting to get some back?
Greg Graves: I think we’ve been very open about it. Our long term goal is to gain about 25% to 30%% of the 300 millimeter shipper mark share and that’s what the team has been aggressively working towards to what we stated is that, after four or five consecutive progress in terms of market share growth, the growth rate posed in Q3, but very frankly I think, when you go from 0% market share, and you’re on your way to 25% market share, nobody really should be expecting a linear progression. Now, I am very pleased to report that, our team remains very, very active and committed to our long term goal. We have a very good product, a very good design, we have a very competitive pricing, and the activity and efforts, which feed our, are in good swing. We are very engaged with all of the major wafer growers and we’re continuing to quantify our products at all of the major fabs.
Avinash Kant: Also during an answer to the previous question, when you talked about stable levels of business being around $130 million and then you said $155 million to $160 million, what are we thinking about there, $130 million by early next year and $155 million to $160 million later on next year? How we think, where these two numbers?
Greg Graves: The short answer is we can’t forecast the market as you know and it would not be unreasonable to assume that we might see numbers in the $130 million range at some point over the coming couple of quarters that depends on the current trends continuing, however, which we’re not able to forecast. So we don’t give guidance and we have no ability to forecast wafer starts. So you should take that with a grain of salt. If current trends continue not unreasonable kind of to think about and the way I would describe it actually thinking about a longer term sort of progression is this. In beginning of 2008, we did approximately in the $160 million rate per quarter. So, $130 million represents about over 20% less than the number that we did in the first quarter of 2008. So if you can think about that the world does not have to go back to what it was in the end of ‘07, beginning of ‘08 for us to achieve those kinds of numbers, Avinash.
Avinash Kant: Do you have an idea of the EPS at those levels, revenue like at $130 million? What kind of EPS are we talking about given some of the OpEx maybe coming back?
Greg Graves: Avinash that will be in part of function of the debt levels and tax rate, but where we’ve given specific guidance, it’s sort of $130 million. We said, we would expect our operating margin to be 8% to 10% and at $150 million we’ve said, we would expect our operating margin to be 12% to 14%.
Avinash Kant: Okay. Perfect. I’ll let other people ask questions. Thank you.
Operator: The next question comes from Timothy Arcuri from Citi.
Peter Karazeris: Hi. This is Peter Karazeris for Tim Arcuri. I wanted to ask on the capital spending side of the business, if it started narrow. I realize it’s up this quarter and it looks like it’s going to be up over the next quarter. Is that from a relatively narrow set of customers and do you see that broadening out in 4Q and then into the first half of next year? Is that what’s driving the strength?
Gideon Argov: Peter, it’s true that the fab up grades were led by a relatively small number of customers and we would expect actually more customers to start upgrading to the next technology nodes and hopefully at some point in time going into 2010, we will start talking about fab capacity this additions.
Greg Graves: Peter, the trend and then we talk back early in second quarter, we started to see sort of signs of light around the edges on the unit driven side, small number of customers and as time has progressed that has broadened out. We’ve seen the same thing on sort of technology driven CapEx, where it started with a small group of customers and it’s broadening out and we have started to see. We talked about at the beginning of Q3, seeing a glimmer of hope on the capital driven, around the technology side of CapEx. I would say, now we’ve started to see some glimmer of hope around some of our capacity driven products. So we’ve got that one additional wave to go. I mean we’re not predicting when it will come, but we are seeing some signs of light.
Peter Karazeris: Great, that’s helpful and then just on the operating expense coming back. What’s kind of your targeted level of R&D, and is there any particular increases in R&D related to any particular products or projects you are scoping out?
Greg Graves: There’s no specific, plans and what I will say is in the SG&A line, we have allocated more toward new market development as we move forward than we have in the past. So even though, our SG&A costs are down significantly. We’re spending significantly more on new market activities. With regard to ER&D, while the costs appear down quite a bit year-over-year, if you take the compensation related costs out of that we’ve been relatively stable in terms of headcount on the ER&D sides. We have continued sort to hold our position on ER&D.
Peter Karazeris: Great, that’s it from me. Thanks.
Operator: Your next question comes from Steve Schwartz from First Analysis.
Steve Schwartz: Good morning, guys.
Gideon Argov: Hi, Steve.
Greg Graves: Good morning.
Steve Schwartz: Looks like industrial, the specialty materials business had the best sequential improvement for the first half of the year seemed to be lagging in the downturn. Would you guys say that business is now turning around for recovery as well?
Gideon Argov: Steve, this is Gideon. The business grew 42% from the second quarter, you’re right. A lot of that is in the semi related portion of the business. That business as you know has a significant semi exposure and we saw in a number of areas in etch, as well as I on an implant significant growth in that business. We have seen as well ascertain to the industrial markets, actually begin to make that turn and recover parts of end market, for example and a glass market that are covered by Poco, but we still I think another leg of recovery to go through in that business, because most of what we saw in this quarter is actually driven by semi even through it was specialty materials.
Steve Schwartz: I see, okay and then, can you give us an update on how things are going in Malaysia? Are you guys fully settled in there and producing at a healthy rhythm?
Gideon Argov: Yes. Actually, we have started for a number of product lines to resume production late Q2 and for some product lines to productions towards import swing in Q3. The project is going well. It is on track and we will be completing all of the remaining trends first by the end of the year. Arguably, the project is probably delayed to and if about one and a half month and it’s simply the function of a surge in demand for the products being producing being produced and put in so. It was a very nice program to have, but it did actually delay some of the qualifications than it need to happen. Yet this being said again, we will be on time and we should conclude its massive transfer by the end of the year.
Steve Schwartz: Okay and then just, one last number Greg, if I could in other income, that FX through a measurement is in there and you commented about the big swing there. How much is that FX for measurement number, out of the 4.1?
Greg Graves: It’s essentially the whole number.
Steve Schwartz: Is it, okay? Thank you.
Operator: (Operator Instructions) We’ll go next to Dick Ryan from Dougherty & Co.
Dick Ryan: Good morning. Greg, restructuring charges going forward, how should we look at those?
Greg Graves: In Q4, we’ll have some modest restructuring charges as we finalize the product qualification into them and we finalize our final sort of asset sales around the building foreclosure in Chaska. We’ve also are closing another building in Chaska, a large warehouse so we could have a small charge for in Q4. We would expect the restructuring charges to be behind us though as we move into 2010. So we’ll have a modest amount in Q4, but beyond that we would not expect to see restructuring charges.
Dick Ryan: Okay.
Greg Graves: Just to add to that is, warehouse facility that we’re closing Chaska, as we did the last step of a multiyear project, aiming at outsourcing all of our warehousing requirements to trippy house, and that’s again that’s the last step. It was in the U.S. and we completed that in October.
Dick Ryan: Okay. When will the temporary cost be fully reinstated?
Greg Graves: If our revenue trajectory continues on an upward path by the end of the first quarter of next year, and that, I referred you a number of somewhere in the $41 million to $43 million per quarter range that will reflect a full cost structure with all of the temporary reductions.
Dick Ryan: Okay and Gideon, the microenvironment you talked about shippers increasing at the 200 level, you mentioned kind of a pause at the 300 millimeter level. Can you give us a little more color what you see going forward there?
Gideon Argov: Well, the 300 millimeter shipper market will grow, clearly more than the 200 millimeter shipper market, that is back and we know because of the nature of our relationships both with the growers and with the device manufacturers that we have moved from essentially zero market share to sort of 18 months ago to approaching a 10% market share in the current timeframe, not quite 10% I should say. We think we’re on track for our objectives. We know exactly kind of where that they’re coming from over the next couple of years and at the same time you will have sort of day grades of demand quarter-to-quarter. It’s not entirely linear progression on a quarter-by-quarter basis, but if you look at 12 inch wafers, the compound annual growth rate over the past two to three years before the downturn over the past nine months year was sort of the compounded 12% growth rate. So that market all things equal should continue to grow into the future.
Dick Ryan: Thank you.
Operator: At this time, there are no further questions. I would like to turn the conference back over to Gideon Argov, for any additional comments.
Gideon Argov: Thank you for joining our conference call. We look forward to updating you on our progress in the future. Have a nice day.
Operator: This concludes today’s conference. Thank you for your participation.